Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q3 2021 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and Karen Hon, Chief Financial Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking and actual results could differ materially. The Company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section and the Company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the Company's results and its MD&A and financial statements for the period, which are posted on SEDAR and can be found on the Company's website, siennaliving.ca. Today's call is being recorded and the replay will be available. Instructions for accessing the call are posted on the Company's website and the details are provided in the Company's news release. The Company has posted slides which accompany the host remarks on the Company website under Events & Presentations. With that, I will now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Latif, and good morning everyone, and thank you for joining us on our Q3 call today. Our strong third quarter operating results and occupancy growth reflect the journal optimism for Sienna's path forward. Occupancy is up significantly in both our long-term care and retirement portfolios. Our development projects have gained further momentum and the rollout of our new retirement platform Aspira is progressing well. We are also in the preliminary stages of developing a new long-term care platform. As part of a new service model, we want to improve our residents' dining experience, activities and recreation programs. We also find - want to find ways to create a better community experience for residents, whether it is a vintage car club or visit from a local school. We believe that creating more connections with the wider community will give our residents something to look forward to in the date, no matter how big or small. The design of our new long-term care platform is based on best practices and the input from our residents and their families. Our ultimate goal is to significantly enhance the quality of life of our residents by providing holistic and integrated care at our communities. The completion of the platform development is expected in the second quarter of 2022. The launch of the new Long-Term Care platform follows Aspira, our new retirement platform. Aspira will make the retirement brand within the Sienna business lines more distinctive. Our aim is to target prospective residents to consider Aspira retirement living as the better option to living at home. An alternative that provides a personalized experience, offers more choices with an increased emphasis on being a vital part of the local community. During the third quarter, we concentrated on the development of our resident-centric model, which emphasizes personalization and expanded choices and included team member training on the new resident experience model and marketing initiatives. It also in the final stage of developing the brand design and identity for a dedicated Aspira website. The website's feature include a centralized Lead Management System, chat options, webinar series, and transparent pricing, all of which will support brand awareness, lead generation, and occupancy growth. In addition, we are continuing the development of the platform's brand awareness strategy, which includes both online and offline marketing initiatives specific to the local communities, as well as widespread communications campaign. We're also developing new programming, which will support the brand's promise of a refined culinary program and enhanced residents programing. We are currently piloting various concepts at select retirement residences. Moving to Slide 7. Throughout the summer and fall, our operating environment continues to improve. We saw the positive impact of high vaccination levels with a limited number of COVID-19 cases at our residences. In addition, our strong infection prevention and control practices, our extensive education programs, incentives to get vaccinated and a new mandatory vaccine policy were all very helpful. To date, many of our residents have received their booster shots. As of last week, over 70% of our long-term care residents and over 40% of the residents in our retirement communities have received the third dose of their vaccines. As a result of a more stable operating environment, in current months, pandemic-related expenses continue to decrease and we are encouraged by the improvements in occupancy in our retirement and long-term care portfolios. Our retirement portfolio benefited from in-person tours and continued strong lead generation, which resulted in a 44% year-over-year increase in resident move-ins for the quarter. Average same-property occupancy improved by 280 basis point during the quarter, increasing from 79.3% in Q2 2021 to 82.1% in Q3 2021. In our long-term Care communities, admissions of new residents accelerated and resulted in a 460 basis point increase in occupancy during Q3. Ending the quarter with an occupancy rate of 87.8% or 92.4% if exclude the unavailable third and fourth beds in multi-bedrooms. Given the long-term care waiting list of 40,000 seniors in Ontario, we expect these strong occupancy gains to continue. The Government of Ontario announced the extension of the occupancy protection funding until January 31, 2022, and we expect to achieve the average annual occupancy target of 97% which is required for full funding in 2022. Moving to the focus in building a team for the future. During third quarter, we continued with a proactive staffing strategy to lessen our reliance with agency staff and to position Sienna well for the increase in direct hours of care in our Ontario long-term care portfolio. Our proactive approach helped us fill positions resulting from attrition from our company-wide mandatory vaccination policy, which came into effect on October 12. It also supported extensive new talent acquisition and helped us bring back approximately 330 former teammates since April of this year who previously were restricted to work at single location as a result of the single-site directive. In addition, during the third quarter, we supported the placement of approximately 350 students in our residences through our collaboration with colleges and universities. We are thankful that the Government of Ontario extended its wage enhancement of CAD3 per hour for personal support workers until March 31, 2022. Sienna's culture of fairness and equal opportunity is also reflected in our fair compensation and gender pay equity models. Over 95% of our frontline team members earn more than the minimum wage and approximately 80% earn at least 50% more than minimum wage. In addition, male and female frontline team members in similar positions have received comparable compensation. Moving to the next slide. Our team members are our most important asset, which inspired us to launch SOAR. The first employee ownership and rewards program of its kind in Canadian seniors living. We are initially investing approximately CAD3 million to provide our employees with the opportunity to become shareholders. This will be done through one-time brands of common shares of approximately CAD500 for full-time employees and CAD300 for part-time employees. We are also introducing an employer matching program for employees who wish to further invest in the Company. We launched this program to recognize the compassion, effort and dedication that team members bring to our residents and communities every single day. Moving to Slide 12. We continue to make good progress with respect to our development projects. Our CAD50 million joint venture development of a retirement residence in Niagara Falls is progressing well. In early November, we secured construction financing for this project, and last week, we started construction at our new Northern Heights Care Community in North Bay. We're monitoring current cost escalations, which will impact our original cost estimate of CAD55 million. Our near-term redevelopment programs in Ontario also include the replacement of the current 60 long-term care beds with 160 new beds at our campus of care in Keswick and the redevelopment of our current 120-bed long-term care community in Brantford to 160 new long-term care beds with modern design with the addition of 147-suite retirement residents to create an integrated campus of care. We expect construction at these two locations to start during the first half of 2022. We are also currently in the process of selling two assets. The sale include our 138-suite retirement residents, located in Burnaby, British Columbia and a 236-bed long-term care community located in the Greater Toronto area for a combined selling price of approximately CAD53 million. We intend to invest the net proceeds to further grow our business through our development program. These dispositions are part of a fulsome review of our assets to add value through capital recycling. With that, I'll turn it over to Karen for an update on our financial results.
Karen Hon: Thank you, Nitin, and good morning everyone. I will start on Slide 14. The operating environment continued to improve in the third quarter, and we thought the positive impact of high vaccination levels, in particular with respect to the decrease in pandemic-related expenses. We are also encouraged by the improvement in occupancy in both our retirement and long-term care portfolio and the continued pandemic funding support that we are receiving from our government. These positive developments are reflected in our Q3 and year-to-date financial results. Revenues increased by 2.1% year-over-year to over CAD170 million this quarter. Net operating income increased by 15.4% to CAD33.4 million this quarter compared to last year. Sienna's long-term care NOI increased by CAD5.1 million to CAD20.1 million compared to last year, primarily due to annual inflationary funding increases and lower net pandemic expenses, partially offset by lower preferred accommodation revenues, annual inflationary labor cost increases, higher insurance premiums and utilities cost and timing of repairs and maintenance due to deferrals from the prior year. Retirement same property NOI decreased by CAD700,000 to CAD12.9 million compared to last year, primarily due to higher agency staffing costs, utilities cost and insurance premium, partially offset by annual rental rate increases in line with market conditions and decreases in pandemic expenses. Rent collection levels remain high at approximately 99% consistent with pre-pandemic levels. Over the past two years, we have seen significant cost pressures, in particular, with respect to staffing. Agency premiums are generally 75% to 100% above regular staffing rate and we have been experiencing a generally higher reliance on agency staff as a result of staffing shortages. We forecast that agency staffing costs for 2021 will total approximately CAD44 million compared to CAD35 million in 2020 and CAD19 million in 2019. The estimated impact on NOI from additional agency staffing costs is approximately CAD2 million for 2021 compared to 2020 or CAD4 million compared to 2019. We are thankful that a significant portion of the increased staffing costs are covered by government funding in long-term care. We believe that agency staffing costs will moderate as more healthcare workers will enter the workforce, and as we start to see the impact of the government's enhanced focus on training of personal support workers and nurses to address the current labor shortage. We have also experienced a significant increase in insurance premiums and notable market rate increases with respect to gas and hydro. Pandemic expenses continue to decline during the third quarter as a result of the improved operating environment. We incurred CAD1 million of net pandemic expenses, which included retroactive government funding of CAD1.9 million for expenses incurred in Q1 of this year. This represent a CAD2.8 million decline compared to Q2 2021 and the decline of CAD8.8 million compared to Q3 of last year. We expect pandemic expenses to moderate further as the pandemic subsides, while related government funding gradually declines. We also expect continued timing differences between the incurrence of pandemic expenses and the recognition of regulated government funding. To offset cost pressures, we expect that continued occupancy gains in our retirement portfolio and an improving operating environment to support our operating margin in 2022 and beyond. Moving on to Slide 15. During Q3, OFFO increased by 34% to CAD18.3 million compared to the prior year, primarily due to higher NOI driven by the timing of government funding, lower pandemic expenses, lower interest expense and lower administration expenses due to mark-to-market adjustment on share-based compensation, partially offset by lower recovery of current income taxes. Q3 OFO per share increased by 34% to CAD0.272. AFFO increased by 10.5% to CAD15.7 million compared to the prior year primarily for the same reasons as the increase in OFFO, which was partially offset by higher maintenance capital expenditures resulting from spend deferrals from last year and one-time capital improvements in the long-term care Class B communities, as well as the lower construction funding principle. Q3 AFFO per share increased 10.4% to CAD0.234. Looking at our debt metrics on Slide 16. Our debt to gross book value improved by 260 basis points to 45.6% as of September 30 compared to 48.2% at the end of 2020, mainly as a result of repaying our credit facilities. Debt to adjusted EBITDA improved to 7.8 years for the nine months ended September 30 compared to 9.4 times in 2020. Our interest coverage ratio improved to 3.8 times compared to 3.1 times in 2020 and we have limited debt maturities over the next few years. In terms of our balance sheet on Slide 17, Sienna maintains a strong financial position and an investment-grade credit rating. On October 7, DBRS confirms Sienna's issuer rating and senior unsecured debenture rating of BBB mid with stable trends. These ratings underscore the resiliency and strength of our business and support of our redevelopment plans. We ended the third quarter well capitalized with CAD222 million in liquidity and an unencumbered asset pool of CAD1.1 billion. I will now turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, Karen. Our third quarter operating results reflect the Journal optimism at Sienna. Strong occupancy gains, the transformational changes to our operating platforms and our continued development momentum, all support our optimistic outlook for 2022 and beyond. We forecast continued occupancy gains across our operations. In a long-term care portfolio, we expect to achieve the required occupancy target of 97% for full funding in 2022 and we anticipate that the time and occupancy levels will reach between approximately 87% to 89% by the end of 2022. The transformational platform changes currently underway will further support our operations in 2022 and beyond. Over the past year, we have gained many insights through intensified stakeholder engagement and market research, which informed our strategy to launch Aspira and inspired us to develop a new long-term care platform. Both platforms are aimed at significantly enhancing the quality of life of our residents. As we execute our strategic goals, we'll continue to draw on the insights we gain from our residents, families, and our team to build a stronger future for all stakeholders. Every initiative we have put into motion over the past year is grounded in the belief that it is a privilege to care for and serve Canada's seniors ensuring they'd live with utmost comfort, dignity and respect. I want to finish by thanking our team members whose drive, compassion and commitment will support our mission to provide our residents, with the highest level of care and services for years to come. On behalf of our management team and our Board of Directors, I want to thank all of you for your continued support and your participation on the call today. We are now pleased to answer any questions that you may have.
Operator: [Operator Instructions] Our first question comes from the line of Jonathan Kelcher of TD Securities. Your line is open.
Jonathan Kelcher: First, just on the occupancy, you seem pretty confident. That's a good outlook you're giving for next year. But if we look on the cost side, when do you think margins in the retirement - on the retirement side return to close to pre-pandemic levels?
Nitin Jain: Hi, good morning, Jonathan. That's - yes, we do feel comfortable with some of our leading indicators on our retirement occupancy, not only compared to 2020, which is - can be an off-year to compare, but even compared to 2019, where deposits are significantly up. I think margins, as Karen mentioned in her remarks, the three areas of cost we see is utilities, insurance and agency cost related to labor. So it's really hard to predict those. We feel a lot more comfortable on the revenue side, still uncertainty on the cost perspective. And I don't think we can give you any more guidance than that at this stage.
Jonathan Kelcher: Then, I guess, just switch gears on just on the asset sales side, capital recycling sounds something you guys have done a ton of historically and you mentioned going into putting it towards development. What about on the acquisition side? Are you seeing much in the way out there?
Nitin Jain: So, yes, for sure. Acquisition market has been quite competitive. We have not actively participated because our focus has been to ensure that we focus on our platforms first. So, Aspira first and now the work that we're doing in long-term care. But - and we wanted to ensure our development projects get started. So, one started last week and we have two, which we expect to start over the next six months or so. So, now is the time when we do feel confident that we can do acquisitions and earn right well, and integrate them well and ensure that we can create value. So we would be looking for both. You're right, we have not done asset recycling before, but the reality is we have 70 properties and time to time, you might have one or two which do not fit your portfolio. While so, we do not have a long list of assets. These are the two where it makes sense. One because the market have changed, and the second it was a C home and it fits extremely well for the needs of local community in terms of long-term care capacity and the hospital capacity. So you might see one or two from time to time, but there is nothing, overall, our portfolio is in very good shape.
Operator: Our next question comes from Scott Fromson of CIBC. Your question, please.
Scott Fromson: Thanks and good morning. Just a question on the occupancy in retirement residence. It was pretty strong and just wondering what you attributed - attribute this growth to, is it representative of normal activity on a quarter-over-quarter basis? And maybe just looking at move-ins, you mentioned a 44% increase. Were move-outs lower than expected or lower than normal?
Nitin Jain: No. So, move-outs actually were also higher than before. I mean there - so we talked about 2020. But maybe I'll give you even perspective 2019 because last year, we were in the middle of wave one and wave two. So, for example, our deposits in Q3 of 2019 were around CAD200 million and our deposits in Q3 of this year is around CAD400 million. So we have 100% increase there. And our attrition rate has been strong. It's not that people are staying longer, like our attrition rate in 2019 was around 10%, and now it's similar. So we've been talking about focus, our marketing initiatives, local approach, having a centralized call center, getting back to people on a quick basis, and all the work that our retirement team and our sales and marketing team have been doing, too, on our platform. So we are really happy to see the results, and that what's gives us comfort in terms of our forecast for the next year.
Operator: Our next question comes from Himanshu Gupta of Scotiabank. Your line is open.
Himanshu Gupta: Thank you and good morning. So, staying on the retirement home occupancy discussion, how is that trending between Ontario and British Columbia?
Nitin Jain: So, we - Himanshu, we do not split that because we only have five retirement homes in British Columbia and we are in the process of selling one. So it's not really one home could have a significant impact. I mean the changes we are seeing in occupancies across the portfolio, there is not really one market or one asset which is driving it. So it's been consistent across both Ontario and BC overall.
Himanshu Gupta: And then if I look at the guidance 87% to 89% for the next year, is that a conservative number? Or I mean do you think there is more scope to beat that guidance of yours?
Nitin Jain: No, at this stage, we - it's still a year away. So we feel comfortable with 87% to 89% as we get closer. Obviously, we can keep updating it on a regular basis. But at this point, no, we don't think it's conservative or aggressive. This is - it's realistic at the moment and we'll find out as we get closer to that timeline.
Himanshu Gupta: And maybe just on your Ontario portfolio composition, are you more independent or are you more assisted living, any color there?
Nitin Jain: Our portfolio, it's a very - so, for many of our retirement homes, we have dedicated assisted living floors, but even in homes, where we do not have that, we would provide care behind doors. So, no, it's not really geared towards one side. It's a really good mix of independent assisted living and some memory care. And we are getting more into memory care with our campus in Brantford for - and also sold assets that we've acquired in the past.
Himanshu Gupta: Thank you. And just switching gears to LTC, pandemic expense recovery, Karen, I think there was a CAD1.9 million catch-up related to Q1 LTC expenses. So have you now fully recovered Q1 LTC?
Karen Hon: For Q1 LTC, after that retroactive funding, we still have some unfunded expenses and more so on the BC side. No, the funding regime is a little bit different. So we are not yet fully covered and that might remain the case for Q1.
Himanshu Gupta: And is it fair to say that eventually, you are going to recover pretty much everything with regard to LTC? I mean there is a timing difference, but eventually, there seems to be recovery happening.
Karen Hon: No, it's hard to tell. What we have experienced is that there have been two, three quarters of delays between when we incurred expenses and when the government might come back with more funding. What we would say that is we do expect some unfunded pandemic expenses for some time. However, quarter-over-quarter, we have seen sequential declines in our net pandemic expenses as our operating environment continues to be stable and improving.
Himanshu Gupta: Fair enough. And then on your higher agency cost, so if I got it right, you said CAD4 million compared to 2019 level. So is that something we should expect in 2022 also? And is it mostly LTC or is it LTC plus retirement homes?
Karen Hon: So, on long-term care, because we have our government funding, a lot of that CAD44 million cost that we have incurred for agency is related to long-term care just based on the nature of the operations with our staffing. But most of that has been covered through the government funding. So the impact on long-term care is less. And so that a variation compared to 2020 and 2019 is more heavily weighted on the retirement side.
Nitin Jain: But I think, Himanshu, to your other part of the question, at this stage, human services is a crisis across all sectors. So it's hard to say at this point. I mean our focus, we have initiatives internally, whether it's working with universities, supporting PSW, supporting nurses. We are doing all the things we can internally, but it's hard to predict a significant decline in those agency cost.
Himanshu Gupta: And then just a final question from me. On the LTC redevelopment, looks like I think North Bay has started in terms of construction and you're working on Keswick and Brantford as well. So are you advancing the pace of development pipeline? Is that the idea here?
Nitin Jain: Yes. So we're - our goal was to be in-ground with two projects this year. So between Niagara Falls and North Bay, we have done that. And our goal is to add two additional ones next year. So both Keswick and Brantford would happen. So, our goal is to start couple of projects each year and then really get in a phase where two come out each year and two go in. So that's going to take us through 2023 to build that run rate. So - but we - our goal is to start around couple of projects each year.
Operator: Our next question comes from Joanne Chen of BMO Capital. Your line is open.
Joanne Chen: Maybe just sticking on the development side of things, with respect to some of the timing of the projects, there's no changes given the current inflation inflationary environment?
Nitin Jain: Yes, no changes in...
Joanne Chen: Okay. Sorry.
Nitin Jain: No changes in timeline. I mean in North Bay, we disclosed previously our cost is CAD55 million. We are seeing some inflationary pressure there. It's hard to predict that cost is going to go up, we expect it to go up, whether it's 2% or 5%, I think we'll still have to figure that out, but that project still makes operational and financial sense. So at this stage, they work, but it is getting - it is definitely getting more and more difficult with construction costs in some areas being up closer to 30%.
Joanne Chen: 30%. Is that on, I guess, on the labor side of things and also material?
Nitin Jain: I mean there is a huge supply chain issue as well. There is a huge issue with labor. So it's - so I think it's a combination of all of those things. People talk about lumber went up, came down, but the building we're building in North Bay, for example, we are not using any lumber. So that going up of price and coming down is not really helping us there. Overall, prices are going higher. And I guess we continue to work with good partners, try to manage cost, try to fix cost as much as possible upfront. So those are all the things we're doing and we'll - again, if it comes to escalate, we'll rethink our development program. At this stage, we are comfortable where we are in terms of two projects a year.
Joanne Chen: And then maybe just going back on the question on the position in capital recycling opportunities. Looking forward to 2022, you then mentioned that the current acquisition environment is quite competitive. Do you think you guys will likely be net sellers or net acquirers over the near term?
Nitin Jain: Yes, we don't really have many other assets to be selling. Again, as we've said, it might be one or two. So, we expect to be net buyers, only if it makes financial sense and we do want to grow across Canada. So we are on in two provinces, so the idea would be to grow nationally.
Joanne Chen: And maybe just one last one on a broader picture. The recent Ontario bill for long-term care, is there any direct - how is the direct impact on you guys with that bill?
Nitin Jain: I mean overall what the Bill 37 is talking about is increase in care hours, which is excellent news because the resident acuity level has changed significantly since the last funding model was put into place. It talks about increased transparency and accountability, which we are aligned with, people should be accountable and transparent. And there is a big focus on increasing new capacity and also upgrading long-term care capacity. So overall, I think we are all headed in the right direction. Obviously, we are in the process of consultation through our association directly with the Ministry to ensure that we understand the changes coming and being able to implement them.
Operator: Our next question comes from Pammi Bir of RBC Capital Markets. Your line is open.
Pammi Bir: Thanks and good morning. Just in terms of your occupancy forecast, what are some of the underlying assumptions in your outlook. And then maybe just secondly, is that more back-end weighted to - at the end of 2022, or is it more evenly dispersed?
Nitin Jain: So I'll let Karen answer the second part, but just in terms of assumptions, what we have been doing is working with our retirement team and build property by property. So it's not the high-level assumption. Obviously, the big assumption built into it is that there is no significant fourth or fifth wave. So if there is significant COVID for some reason, obviously, all of these things go out of the place. And then I'll let Karen talk about our occupancy projections for Q4 and also how it might play out next year.
Karen Hon: So for Q4, typically in the winter months, we do see move-in is a bit slower because it's the winter, people don't really want to move, it's the holiday season and that could also trickle in into the Q1 timeframe. And when we resume the normal seasonality of the move-ins and we expect that recovery will happen during those months.
Pammi Bir: So the more I guess Q2 2022 onward over that - I guess the last three quarters of next year.
Karen Hon: Yes, Q2, Q3, that would be normal season. I mean, in the past couple of quarters, the seasonality seems to be a bit different and looking at Q4 next year if the same patterns have been happening next year, then Q4 might also be a bit slower for next year.
Pammi Bir: Okay. Thanks for that. Just with respect to the retirement portfolio maybe, without giving away too much of the secret sauce, could you maybe provide more color on the types of sales and marketing initiatives that you use in your local communities and how the referral program works?
Nitin Jain: So, it's really a combination of lot of this - a lot of different things, a referral program could be a referral from current residents where they would get some kind of incentive, whether it's some rent, whether it's some free rent, whether it's a new TV and there is obviously incentive for the new resident moving in similar to what we have done in the past whether it's month - one month free or moving expenses and others. And also referral programs for medical offices and others to help guide them to us. So I wouldn't really think there is one specific thing which has done that, but it's really whether it's training of sales consultants, whether it's our online lead generation, it's the centralized call centers, I don't think there is really one thing that we can point to versus really a system of great execution where the retirement operations, great work by our sales and marketing team, I think that's really what it comes down to.
Pammi Bir: And maybe just to clarify, I guess, with respect to the comments around referrals from - or incentives I guess for the surrounding community like medical offices or other local health care operators, is that sort of like a financial incentive they're incentivized with or is it something else?
Nitin Jain: So, a lot of that is really partnership with the hospitals because people go for a finer surgery and then they are looking for saying, well, my needs have changed. So it's reconnecting with the hospital systems, so it's not really a financial incentive. It is really a service in the local community. That's the big focus and those are really generally the type because people are looking for the right recommendations for a place. So that's what they would be for.
Pammi Bir: Okay. Just lastly with respect to, I guess, the disposition in BC, any color you can share with respect to maybe the NOI impact or cap rate range? And then just secondly, was that a stabilized asset?
Nitin Jain: So again, let me talk to the last part and then Karen can cover the first one. So that asset in Burnaby, the market conditions have changed significantly. It has become a very, very expensive area to be in with lot of high-rise condominium really coming to that area. So there is not much interest in senior housing. So the locations has changed. So that's where we got so and that's - that home was not stabilized. So we - so our point was either we have to significantly change the current asset or look to sell it. So we decided to sell it. And in this case, it's going to be bought by a not-for-profit, which focuses on providing affordable housing for younger seniors. So this is - so that's why it made sense and then I'll have Karen provide you a bit of update on NOI for both of those properties, both the timeline one, and actually even the long-term care disposition.
Karen Hon: Good morning, Pammi. So for the two properties that we are in the process of selling, when we look at the stabilized NOI, those two combined would be contributing about CAD4 million, CAD4.5 million and currently, those two would have contributed on a full year basis approximately CAD3 million - CAD3.5 million.
Pammi Bir: Sorry, the CAD4 million to CAD4.5 million, that was the stabilized and the CAD3 million to CAD3.5 million is the in-place.
Operator: Our next question comes from Yash Sankpal of Laurentian Bank. Your line is open.
Yashwant Sankpal: Just what was the cap rates on the assets you sold or you are in the process of selling?
Nitin Jain: So they're not really sold by cap rates because the first one is being bought by a not-for-profit which is working with the government of BC to provide affordable housing. So it's not written as a cap rate. And the second one is a C home where the long-term care beds are going to be moving to new community that partners help is our building in Mississauga and the land is being bought by the hospitals. So it's not really sold on a cap rate basis versus more the highest and best use for the current asset.
Yashwant Sankpal: And then moving to the C37 discussion, based on what you're seeing right now, how should we model your long-term care margins and retirement home margins given the increased labor costs and probably your insurance costs will also go up because of the Bill 37, is that a fair comment?
Nitin Jain: Yes, we don't really anticipate insurance changes because of Bill 37. So our insurance cost has been going up across the sector because there were significant losses for insurance companies, whether it was the floods in BC or - sorry, the wildfires in BC or other things. So we don't think it has anything to do with insurance cost. Having said that, the insurance utilities and labor cost are the key drivers. And really - we don't really have any insight to provide at this time in terms of how - when, and how they would come down. We do expect them to migrate over time. The timing of it is really - I don't think we can provide you any guidance on that.
Yashwant Sankpal: And for modelling purposes, although ward beds, how many should we remove and what would be the total impact - NOI impact of those beds?
Karen Hon: Hi, good morning, Yash. So we have about 380 third and fourth beds that have been put as unavailable for very long time. And in terms of how occupancy is calculated and how we would be funded, it would also exclude the isolation base beds that are unavailable. So between the third and fourth beds in the isolation beds that make up above 500 beds that we continue to get full funding. And as you know, the occupancy protection has been extended to end of January 2022. And our expectation is that those unavailable beds will continue to be funded as it has been based on directive that they are come - they have come out of capacity. So we haven't really modeled out like what is the impact of the third and fourth bed because we expect continued funding for those.
Yashwant Sankpal: Do you think the funding will continue until the end of 2022?
Nitin Jain: Yes, that's the expectation, Yash.
Yashwant Sankpal: Okay. 2% of your employees have been - apart from working as of now, how many people is that? And has there been any impact, like positive impact of that move?
Nitin Jain: Sorry, say that again. Not sure I - we get your question.
Yashwant Sankpal: Based on your disclosure, I think 2% of your employees have - they're - because they are not vaccinated, they are not allowed to work right now, is that right?
Nitin Jain: Yes, roughly. That's correct.
Yashwant Sankpal: How many people is that?
Nitin Jain: So we have close to 10,000 employees. So you can do the math there of 2%. So it's a couple of hundred.
Yashwant Sankpal: Right. And have you seen any conversion after that move, like any anybody willing to take vaccines?
Nitin Jain: It's one-off cases. We have - this is really October 12 cut-off through a year of before the vaccines were available, but we know they were coming, been a lot of vaccine education through our Chief Medical Officer and our Chief Infection Prevention and Control Officer. So we did that, then we provide all sorts of support to ensure people were getting vaccinated then we provided incentives for people to be vaccinated. And the last one was mandatory vaccine policy. So this was not abrupt. So when we got to the balance of the 200 people, I think they made their choices in terms of finding employment elsewhere. So we did not see a huge change in that and there might be one or two people who might come back, but nothing significant from that pool.
Yashwant Sankpal: These were die-hard, guys. Okay. And just one last follow-up question on your attrition comment. You said about 10% of your residents move - leave the facility. How much of that is because they move to a long-term care home or - away or how much of that is move to some other retirement home?
Nitin Jain: It's really - we don't see a lot of people moving into another retirement home. I mean moving is a challenge for anyone. And when you're a senior, you make friends. It is unless you are really unhappy with the place you're in, people don't move out. So I would say that would be 1% or 2% of people, and the difference between people move into Long-Term Care, other reasons would be around 50-50.
Operator: Our next question comes from Tal Woolley of National Bank. Your line is open.
Tal Woolley: Just on the Aspira relaunch, you're obviously going to want to invest some money behind the launch of the new brand in Q1. How should we think about just costs for that unfolding over the course of 2022?
Karen Hon: So, the Aspira platform will be a one-time investment of about CAD1 million and there's going to be a portion of that in capital investments and then the other portion for one-time launch costs. But over time we expect that for, first of all, it will be cost-neutral, in the sense that we expect there will be revenue gains from occupancy lift as a result of the brand. And over time, it would help us contribute to further occupancy gains, as well as supporting rent growth and therefore, in the longer term, we expect that it will be a positive contribution to our NOI, as well as our margin.
Tal Woolley: And can you just speak to, like the marketing mix, like online versus traditional media versus promotions within your partner - your healthcare provider partners? And how that might change from sort of maybe where you were or how you're spending your money like three, four years ago?
Nitin Jain: Yes, it's really I would say, first of all, it is quite local. So there is no really one national strategy for marketing and that's on purpose because it doesn't work that way. Majority of our spend is digital and as a majority more than 65%, 70%. And the balance would be the combination of all the things you mentioned, whether it's referral programs, whether it's local newspaper advertising or others.
Tal Woolley: And for the long-term care platform enhancements you're making, do you intend to rebrand the Long-Term Care side of the business, too?
Nitin Jain: Long-term care is a very local decision. People do not - there is no attraction to a brand attraction as to the quality of care and services that we provide. So our goal is to stay very hyper-local for long-term care versus the brand that we launch for retirement, which is Aspira. So we expect our long-term care homes to be locally named with no common brand across.
Tal Woolley: Again, you're doing this relaunch with Aspira, you've invested in - you made some investments in call centers, things like that. When we think about your occupancy outlook, can you provide some color on, like, are you sort of expecting outsized gains from what you would have made in the past because of those investments? If I read into what Karen was saying before, it seems like that would be a fair conclusion.
Nitin Jain: Yes, I mean that's our expectation. If we invest all this and the result is the same, we should not do those investments but I mean that's the pretty blunt conversation we've had internally as well. And we do feel it's - during COVID it is hard to differentiate if your results are suffering, are they suffering because of COVID, are they suffering because we don't have the right programming. So we do feel confident that the programs that we put into place and it does take a quite a bit of time to - for them to take into sight, like we feel we're headed in the right direction, and that what gave us comfort in giving occupancy forecast as well. So we do think they are working.
Tal Woolley: And then just on the LTC side of the business, there's a lot of focus on redevelopment, obviously, but we also - at least here in Ontario, we need to grow the number of beds, too. How do you think about - like do you want to grow the LTC business as the province grows it? Or are you - look, are you okay leaving your exposure with what it is right now? Like, are you looking to add facilities over time?
Nitin Jain: We have around 6,000 beds in Ontario Long-Term Care. We are one of the largest operators. So we do feel we have enough beds in the system. However, when we do developments and Brantford is a good example, the current home is 122 beds. We are building 160, so we would add capacity there at [indiscernible]. We have a retirement home which is attached to only 60 long-term care beds, we are changing that 60 to 160 as we're rebuilding. So I think there would be places where we are adding capacity, but in Mississauga, for example, we sold our C home because it was a better use for the hospital and for residents, it was faster to get to the new long-term care being built by the hospital and partners community versus us going through a whole rezoning process and building in Mississauga. So I think it's really one-off, but we don't expect our long-term care numbers in Ontario to significantly change in the future. We expect them to stay overall consistent, but with a higher portfolio or a better quality of portfolio as we are redeveloping B/C Homes.
Tal Woolley: And then just on the emission side, like prior to the pandemic unfolding, we were moving away from the Lynn model for the Ontario health teams. What's happened with that or what's the pandemic - I just - for obvious reasons sort of following that restructuring kind of is falling out of the news, and I'm just curious like has it made any difference or has anything changed as a result of those shift?
Nitin Jain: Yes. So let's have gone away, so it's Ontario health teams that we work very closely with. We have great relationship across the Ontario health teams, the admissions and long-term care is still directed through Ontario health teams. I mean we have to realize you have a set of capacity across the system to do admit certain number of people into long-term care residents. And when you - when the number grows by 4 or 5 times. It will take a bit of time, but working in Ontario health teams, our team and Ontario health have done an incredible job of getting people back into long-term care, which is reflected in our Long-Term care occupancy and we continue to see good progress moving forward as well.
Tal Woolley: And just finally on the campus model that you guys have been touting over time, I can obviously see the draw for the - if your retirement and LTC on the same side, there is a draw for the family to sit there and say like, hey, we've got basically the full spectrum of care in one place, but you sort of have this weird thing right where like if that technically not you in charge of the admissions into the long-term care facility, like how...
Nitin Jain: Yes, I wouldn't - yes, no, that's fair. Like, for example, Keswick just happens to be campus of our care because there is existing retirement beds and we have exist - and we have more lands, so we're building there. Brantford is a great retirement space as well, there's not much competition. So we are building a campus. No, but we are not focused on all the building campuses. I would say, if I had to guess majority of our long-term care home developments would be standalone long-term care developments. That's for us, we have limited amount of development dollars and we want to make sure that we are smart with that, and in long-term care, our focus is to redevelop those long-term care beds because without doubling the cost for a campus. If we find the right land, the market makes sense for retirement, we would add campus. But what we're not doing is, we're not saying okay, we will only do campuses. So let's find land where it works and that will do. So it's more - we will - the idea is to provide solution for long-term care, and if it somehow lands into a campus, then that's a great outcome.
Operator: And at this time, I'd like to turn the call back over to Mr. Jain for closing remarks.
Nitin Jain: Thank you, Latif. On behalf of our management team and our Board of Directors, I want to thank all of you for your continued support. I hope you have great rest of the day and a great weekend.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.